Operator: Good morning, everyone and welcome to United States Steel Corporation's Fourth Quarter and Full Year 2019 Earnings Conference Call and Webcast. As a reminder, today's call is being recorded. I will now hand the call over to Kevin Lewis, General Manager, Investor Relations. Please go ahead.
Kevin Lewis: Thank you and good morning. We appreciate your continued interest in U. S. Steel and welcome you to our fourth quarter and full year earnings call. On the call with me this morning will be U. S. Steel President and CEO, Dave Burritt; Senior Vice President and CFO, Christie Breves and Senior Vice President and Chief Strategy and Development Officer, Rich Fruehauf.
Dave Burritt: Thank you, Kevin. Good morning, everyone and thank you for your interest in U. S. Steel. We are pleased to update you on our progress since we last spoke in November. 2019 was the year, we set the company on a new strategic path. We announced and closed on a series of investments that uniquely position our company to bring the best of both that integrated and mini mills steelmaking technologies to the market for our customers, for our employees, for our stockholders. We are enthusiastic about our strategy and have a quiet confidence about how we are executing. Have markets been challenging over the last several quarters, yes, but we are confident that things are improving as we turn the page to 2020. We are confident in our view that the market has hit bottom. We are confident that our focus on cash management, industry-leading cash conversion cycle and opportunistic capital market activities have positioned us well for continued execution. And finally, we are confident in our U. S. Steel team because we achieved significant breakthroughs together in 2019. Let me begin today's call with our strategic performance on page 5, it starts with our safety performance and we set a record in 2019 all-time best days away from work performance and no days away at Europe or Tubular. We strengthened customer relationship, with an increasing focus on providing value-added solutions. Here are a few examples. In automotive, we have been shipping our XG3 material for key safety components on the Jeep Gladiator that launched last year. And we are helping other automotive customers design XG3 into their vehicles that are launching later this year with even more next year. In Tubular, we developed a new innovative connection, which improved customer efficiency and secured additional monthly volume from a large rig operator in the most active oil basin in the United States. We announced significant investments in best of both technology including our minority investment in Big River Steel and our investment in state-of-the-art Endless Casting and Rolling at our lowest cost mill at Mon Valley. We raised $1.1 billion of incremental capital that gives us optionality for nimble execution. We achieved $75 million of run rate, fixed cost reductions and have a line of sight to delivering our $200 million target, a year ahead of plan.
Christine Breves: Thanks, Dave. Good morning, everyone, I'm excited to be participating on today's call. In my new role as CFO. I look forward to meeting many of you over the next several months. Let's turn to Slide 8. Adjusted EBITDA for the quarter was $4 million or approximately $30 million above our guidance issued on December 19. Our Flat-Rolled operations performed well at the end of the year and exceeded our expectations on shipments and cost management. This was the major driver behind our better than expected fourth quarter results. As expected, our Flat-Rolled fourth quarter results were lower versus the third quarter. The flow-through of lower steel selling price in the back half of 2019 accounted for over half of the quarter-over-quarter EBITDA change. Our European segment also saw lower selling prices impact their results. This was offset by a combination of lower iron ore costs and one-time items. Our Tubular segment continued to be impacted by market conditions, including continued high levels of imports. In the quarter, we maintained our intense focus on cash management. We released $400 million of working capital and ended the year with nearly $750 million of cash on the balance sheet. Let's now go to Slide 9. We continue to be positioned well against our balance sheet priorities. Our cash balance of $750 million and total liquidity of nearly $2.3 billion is well above our minimum targets over the investment horizon. As Dave mentioned, we remain flexible to support the continued execution of our strategy, the incremental capital we raised last year and our 2020 capital spending target of $875 million provides us with the optionality to access markets opportunistically. The capital we've raised so far has come from efficient sources and has been complementary to our existing capital structure and debt maturity profile. Our goal is to maintain this flexibility with any future capital raises. Before I turn it back to Dave, I want to touch on our current view of the first quarter on Slide 10. We currently expect the first quarter to be the trough for the year and anticipate our first quarter results to be similar to the fourth quarter. Let me quickly cover a few key points. Like every year, we expect the seasonality of our mining operations to be a headwind for the Flat-Rolled segment, due to winter weather and the restrictions placed on the Steelworkers , our mining operations do not ship pellets to our blast furnaces in the United States or to our third-party customers and winter.
Dave Burritt: Thank you, Christie. Let's turn to Slide 11. We are confidently executing the strategy we laid out for you in 2019. We have the team in place to be successful and I couldn't be more excited to get to the future state. 2019 was an important year for our company. We move the company forward and set the foundation for continued strategic execution. 2020 and will see the start our EAF at Tubular, the state-of-the-art advanced high strength steels CGL at PRO-TEC and continued steady progress on our best of both strategy. Kevin, let's move to Q&A.
Kevin Lewis: Thank you, Dave. We ask that each of you please limit yourselves to one question and a follow-up, so everyone has the opportunity to ask the question. Operator, can you please do the line for questions.
Operator: Certainly. Thank you.  I will proceed with our first question on the line from Matthew Korn from Goldman Sachs. Go ahead.
Matthew Korn: Hey, good morning, everyone. First to market question, Dave, you outlined some of the reasons that you believe that we're at a bottoming of the market, some of the destocking is going well down. Could you go over what your lead times currently are across products maybe versus a couple of months ago versus last year. Some things that make you encouraged?
Dave Burritt: Yes. Yes, thanks, thanks for the question. Appreciate that. I guess first I would say, our view is that market conditions are stabilizing in the underlying demand is solid. We are hearing from our customers and the support, I guess I'd say is in the numbers. Lead times are strong at about 5.6 weeks and that's two weeks more than a year ago. Service centers year-over-year inventories are below historical norms and gives us confidence that normal buying patterns will continue our mill backlog remains healthy and frankly our conversations with customers suggested healthy demand and expected key segments like automotive, appliance and construction, it looks good. But I don't want to give anybody the wrong impression about the first quarter. We just want to go back to this. As we all know, this is typically our weakest quarter due to seasonality issues with mining and the potential for weather impacts and this year, is not expected to be different, that we expect flattish results in the first quarter versus the fourth quarter. So, just to be clear again, the first quarter should mark the trough and be similar to the fourth quarter of 2019 and results are expected to improve throughout the year and maybe Christie, you want to add anything to that.
Christine Breves: Okay. Well, let me add a few more details on the current full year expectations. We are expecting to ship 10 million tons to third-parties in 2020 and Flat-Rolled and this takes into account the indefinite idling of a significant portion of Great Lakes works that's planned to begin in the second quarter. We are also planning to take a 48-day outage at Gary Works number 4 blast furnace in April. So, we'll be building up inventory in front of that in the first quarter. In Europe, we're seeing some signs of life, but we're very off -- but that's off a very low base. So, that's why we're continuing to expect to have one blast furnace offline in Europe in 2020 and to ship 3.2 million tons. Our Tubular segment is expected to ship about 900,000 tons in 2020 and the biggest difference between 2020 and 2019 shipments for that business is the number one ERW mill and that's going to be running for a full year in 2020. And this line was we started in the late second quarter of 2019 and its expanded our suite of products for our Tubular customers.
Matthew Korn: Great. I appreciate all that detail on the operations side. Let me -- let me follow-up a little bit in terms of pricing. As best as you can characterize it, how should we be thinking about your effects of the contract price negotiation that you finished over the past year. How should we think about that, even going into the next quarter and thinking about the effects on the Flat-Rolled side? Thanks.
Kevin Lewis: Yes. So thanks, this is Kevin. So, related to fixed -- fixed price contracts, obviously, we won't get into too many details about the results of those. We're very pleased where those ended up given market conditions during a time of negotiation, but one of the things that we've really been focused on is creating more of a staggered approach negotiations on these fixed price contracts. So, we've been attempting to smooth the negotiation period with our -- with the OEMs who enter into these spread contract with us. So, we're seeing good success on that front. I'm not sure the whole takes some volatility out of the year-over-year changes of fixed price contracts. Speaking more broadly to pricing, I think there are a couple of key dynamics that we're paying attention to in the marketplace. The first is related to scrap and I think there is market sentiment, as a soft sideways on scrap. In our view, that is not atypical in February. If you actually look back over the last 9, 10 years or so, February scrap and blow January scrap in 9 out of the last 10 years. Coincidentally or not coincidentally HRC prices have increased 6 out of those 10 years, if you look at February versus January. So, we don't necessarily believe that just because you might have a soft sideways on scrap that that means HRC prices are vulnerable as we move forward in the first quarter. We continue to believe the demand will eventually be the catalyst for prices. And then if you look at spread versus kind of the downstream products were clearly a bit extended, about $230 a ton spread. We look at that more as attributable to the strong demand for downstream products as David and Christie both alluded to in auto, construction appliance etc. So, we think that speaks to the health of the marketplace as we times extend in order entry rates remained strong. So, we look at all that a supportive of higher HRC prices moving forward. And if you look at some of the index fees, multiple publications. You see a wide range of prices being quoted right now. So, we're optimistic that the pricing environment will continue to improve.
Operator: Thank you very much. We will proceed to our next question on the line from the line of David Gagliano from BMO Capital Markets. Please go ahead.
David Gagliano: Okay, great, thanks. Just -- first of all, just a quick follow-up on that last answer, just if for modeling purposes in the first quarter, should we expect to be are realized prices in Flat-Rolled to be up or down versus the fourth quarter. That's the follow-up question.
Kevin Lewis: Okay. I would say on a quarter-over-quarter basis, we're looking at relatively flattish average selling prices in our Flat-Rolled segment.
David Gagliano: Previously, it was indicated the plan, I think was the tap into the debt capital markets, as that expanded into considering tapping into the or not considering into tapping into the equity capital markets as well?
Dave Burritt: Well, this is Dave. First, I'd say given where our position is with the amount of liquidity that we have today and the optionality that we want to have to be opportunistic. We feel like we're in pretty good shape. So, it's not that we have to go in capital markets in 2020. But we certainly could if things present themselves in a positive way for us to move ahead and get a total solution to make sure that we can put in place our best of both strategy. But we're going to be appropriately patient and we'll look at all opportunities to access the markets. You'll also recall that back in October with our announcement of Big River, we highlighted that we have the opportunity to monetize pellets in Minnesota. And so, we're looking at that possibility as well as real estate assets and other opportunities that can give us the required cash flow to deliver on our best of both strategies.
Christine Breves: I'd say we're in really good shape right now because we already took a lot of activities. We already did a lot of things to get ready. We decreased our capital from $950 million to $875 million expected spend for 2020. We've already secured $1.1 billion in the fourth quarter of 2019. We have good strong liquidity, one we have minimum target of liquidity of $1.5 billion, right now, we're at $2.2 billion cash. So, $500 million and we have $750 on the balance sheet. So, we're in a pretty strong position to be able to be opportunistic as far as financing in the capital raise, particularly not needing to raise capital in 2020.
Operator: Thank you very much. We'll proceed to our next question on the line is from the line of Seth Rosenfeld from Exane. Please go ahead.
Seth Rosenfeld: Good morning and thank you for taking the questions. A couple of questions on the European business please, trying to better understand the gain that you reported in Q3 on your CO2 costs. Can you help us better understand what drove that benefit in Q4 and how that compares to the guidance probably about $35 million improvement in 2020 year-over-year. Are those the same factors, with regard to carbon emission credits or will they be different over those two periods. I'll start there please.
Kevin Lewis: Yes. Sure, Seth. This is Kevin. So, when you look at 2020 in the favorable change you mentioned related to CO2 credits of $35 million versus 2019. As you're well aware, you need to purchase CO2 credits above and beyond your -- your designated allotment and under a three blast furnace configuration in Europe, we would be required to purchase some CO2 credits externally. Under our two blast furnace configuration, we are obviously using less CO2 credits and that's what's driving the favorable change year-over-year and -- in Europe. You did see some one-time items in the European segment in the fourth quarter related to electricity, rebate that is kind of a typical year end process with the Slovakian government related to electricity. So, we called that out because it was something that was different versus the third quarter and more of a one-time event. So, that should cover the majority of the one-time events that you saw, as well as the expectations on CO2 credits for next year.
Operator: Thank you very much. We'll proceed to our next question on the line from the line of Karl Blunden with Goldman Sachs. Go ahead.
Karl Blunden: Hi, good morning, guys. Thanks so much for the time. You mentioned the CapEx increase at Mon Valley, is there or other specifics you can share about the cadence of CapEx and whether that increase leads to an uplift or an increase in the expected EBITDA uplift that you had in mind when you initially announced the plan?
Kevin Lewis: Okay. Yes. Karl, this is Kevin. Good morning. Look, if we think about the distribution of the CapEx over the next few years related to the Endless Casting and Rolling at cogeneration facility investment. Dave mentioned earlier for 2020, there is no change to our $175 million of CapEx, which included about $175 million to $200 million for this particular project, so no change this year in the scope of the project. Looking forward to '21 and '22, we expect those to be the two largest years of CapEx with one, being a little bit larger than 2022. Obviously, as we ramp up engineering and construction, we will have our highest level was a spend on this project in 2021, and then a little bit in 2023 as we complete things, but the timeline really is unchanged with first steel being in 2022. The $275 million of EBITDA remains intact. If you think about a second LMF at our Mon Valley facility. We view that as a way to make sure that we're maintaining the efficiency and low-cost structure as we expect demand from our customers to grow from this differentiated product. So, it's really something that we introduced into the permitting and the scope in order to ensure that that facility remains top quartile in the US. And then the increase in spending the cogen  was really related to making sure we hit those environmental benefits that we're working so hard to achieve across the Mon Valley. So, $275 million remains intact. And as Dave mentioned, we're extremely excited about the capability differentiation this line is going to bring to the market. And now we're going to be able to sell a lot of really great problems for our customers and provide them with a lot of value.
Dave Burritt: Our customers are excited about this when we meet with them and we're certainly excited about it, because ultimately we believe this will be the most capable mill in North America. We'll be able to produce coils up to 76 inches wide engages as thin as 0.023 inches, think about that, that's the equivalent to the thickness of six human hairs stacked on top of each other. We're incredibly excited about the possibilities of this and that fits in so well with our best of both strategy, coupled with the work that's been completed this year at PRO-TEC. We believe we have a winner. And with this extra CapEx of $1.5 billion. Remember, this is an internal rate of return of at least 15% over the investment horizon without increasing capital elsewhere, because we're more flexible, we're more nimble and we can do puts and takes. Because of the revitalization of asset program has improved our operations so they can, we can be more flexible. We are excited about the Endless Casting and Rolling line at Mon Valley.
Operator: Thank you very much. We'll get to our next question on the line.  And we'll go to our next question in line from Matthew Fields with Bank of America. Go ahead.
Matthew Fields: Hey, everyone. Just want to follow-up on some modeling question and then a bigger picture one, please. So, just on your comment about 1Q results similar to 4Q, you also said sort of 1Q shipments will be down sequentially in Flat-Rolled and in Europe and realized prices will be flat to 4Q in Flat-Rolled. So, does that mean, kind of where think I know you don't want to give EBITDA guidance, but EBITDA in 1Q similar to 4Q or even potentially worse with fewer shipments and flat pricing well.
Kevin Lewis: So, this is Kevin. So, I think the description of the quarter related to shipments and prices is really why we are -- why we believe the first quarter will be similar to fourth quarter, so obviously that's we've taken into consideration and our latest look in the quarter. But you're right, we expect shipments to be down a tad. In the first quarter of in both Flat-Rolled and Europe, and as I just said, average selling prices to remain in Flat-Rolled, So, that should help calibrate you around our latest expectations for the first quarter.
Operator: Thank you very much. We'll proceed to our next question on the line from the line of Alex Hacking with Citi. Go ahead.
Alex Hacking: Yes. Good morning, everyone, and congrats on the new safety record that you set last year. In terms questions, I guess, first question would just be, what do you expect for working capital this year, that was an important source of funds last year. And then secondly with steel prices at current levels. Given your CapEx program, where do you think that you would end the year in terms of net debt. Thank you.
Dave Burritt: This is Dave. First, I know Christie's new as CFO and I want to thank her for the leadership in this space. The weekly cadence the business rhythm on the cash calls that include not just our financial folks, but our operators, our sales and operations planning teams enabled us to be able to have this really strong finish with the release of $400 million in working capital this last year. So, thank you for that. What's in store for us here in 2020.
Christine Breves: Okay. Well, thank you, Dave. Thanks. Yes, we do, put a very intense focus on working capital here. I actually lead the team where it's a cross-functional team made up of not just accounting people, but sales and operations planning, operations people, procurement people where we're focused on reducing working capital every single week would clear targets and actions. And the fourth quarter result was a result of that, and there were several specific inventory projects that came in and delivered that $400 million. And also, we got contributions in inventory in the Tubular business and the USSK business, because that's a global team. But looking forward to 2020, we are expecting to build inventory in the first quarter and getting ready for the blast furnace number 4 at Gary is going to go down for 48 days starting in April for a planned outage. So, we will be building inventory in front of that. But then during the year we will be taking out the inventory and we -- and other working capital, overall working capital will be a slight improvement in 2020. We will continue to decrease working capital, slight improvement for 2020.
Dave Burritt: And related to your question around net debt, I think we're going to get into what we think our net debt levels, maybe at the end of the year. Obviously, that's going to be dictated by any activities we choose to make in the capital markets. So, more to come on that at a later time. But we probably walk into the details now.
Operator: Thank you very much. We'll get to our next question on the line from John Tumazos from John Tumazos Very Independent Research. Go right ahead.
John Tumazos: Thank you very much. Over the years the corporation as idled a few plants. Could you give us a little rundown of the particular states where you'll be selling real estate. I recall over the years that were fast tracks Conneaut, Ohio or half the Jefferson County, Alabama. There is a lot of ground around the company please.
Kevin Lewis: Sure, John. Good morning, this is Kevin. We do have quite an attractive portfolio of real estate, obviously as we've operated throughout the country for many, many years, we've acquired some real estate. So, let me just go through maybe a few. Then I'll hand it over to Rich provide some more strategic context, but I think there are a few that we're particularly excited about. If we think about our Keystone Industrial Port Complex in the eastern part of Pennsylvania is extremely attractive piece of industrial real estate with some very unique attributes that drive a lot of value for us and a potential buyer. So, we're excited about the opportunities related to that property. There are others across the US, as you mentioned in Alabama, where we have more residential and non-industrial commercial developments that could be a value. So, we're going eyes wide open. As Dave mentioned, we're continuously focused on value and finding sources of funds to support the continued execution of strategy. And when we look at the real estate portfolio, we see the potential for value and it's something we'll continue to explore. So, Rich, if you have any additional color to add.
Richard Fruehauf: Yes, this is Rich. I mean also we've been trying for some time to find the right buyer for ourselves, our former southwards location outside Chicago. So, I mean that's an incredibly attractive piece of real estate almost 500 acres right on Lake Michigan. We have other properties where we've had mills in the past, they tend to be very attractive from an industrial redevelopment perspective because you've got rail, you've got utilities already plugged in, you're generally in a in an urban or near urban location. So, there are any number of properties across our footprint where they can be redeveloped for as Kevin said in some cases we have greenfield properties like in Alabama where we are a large landholder in Jefferson County outside Birmingham. We've done our own real estate -- residential real estate development, but there is a lot of other opportunities there as well. So, we're looking for the best owner of those properties as we sort of focus on our core assets.
Operator: Thank you. Proceed to our next question on the line from Chris Terry from Deutsche Bank. Go right ahead.
Chris Terry: Hi guys, just a quick question from me is to follow-up on asset so opportunities. Just wanted to if you could give a little bit more color on the iron ore business, obviously, some changes there from some of competitors in the region. Is there opportunities there to think about divesting actual capacity or you're talking more about pellet sale opportunities, but you still own it. Just wanted to give some timeline and just lay out some more details on that. Thanks.
Richard Fruehauf: Sure, this is Rich, I think as far as the timeline that's really it depends on the market opportunities, who is, who is the buyer who is who is interested, as Dave said when we announced the Big River, we're looking at our efforts to monetize our pellets, those to be any kind of efforts, you outlined a few. We can continue to sell into the merchant market, we could look for actual sale of the assets to a new owner. We can look at internal uses as we've become an EAF operator. So, there's lots of different opportunities there. I'm not going to get into timelines because really, that's, that's something where we're focused on doing it, but we've got to find the right partners for any opportunity there.
Chris Terry: Okay, thank you. And then just one other follow-up from an accounting side. In the back of the presentation from yesterday's Slide 24, when you step through the Flat-Rolled division. There is a negative $19 million including other. Is that including Big River in that. Can you just talk...
Kevin Lewis: Could you speak up, I'm having trouble hearing you. Could just back that up a bit. Say that again, you said Page 24 and then repeat what you said a little louder please.
Chris Terry: Sorry, did you catch it.
Kevin Lewis: No, We could not hear anything there. Start over, we heard page 24.
Chris Terry: Sorry. Okay. Slide 24, there is a, there is a waterfall chart just on the Flat-Rolled division and there is a negative $19 million in the other category. Just wondering, just wanted to check that that $19 million part of that would be the Big River numbers as we understand it, can you just talk through that a little bit, we just wanted to check-in is that what you're going to report going forward will go in that category. Thanks.
Kevin Lewis: Sure. No problem Chris. So, the $19 million unfavorable change you are seeing on page 24 in the earnings presentation is not related at all to Big River Steel, that is actually a change in electricity and natural gas, energy costs within the segment. As we mentioned and I think we detailed on one of the slides. Big River will actually flow through our other businesses segment. When we look at EBITDA reporting. So, you will not see it show up on any of the bridge charts for Flat-Rolled Europe or Tubular going forward.
Operator: Thank you very much. We'll get to our next question from the line of Brian Lalli with Barclays. Go right ahead.
Brian Lalli: Hi, good morning. Just two quick questions from me first, and sorry if I missed this before. But could you walk us through what the right way to think about the pacing of CapEx is into '21 and '22 relative to '20. Given your Mon Valley comments earlier, just to level set expectations versus the $875 million and again I apologize if I missed that. And then my second, just on the debt front, obviously you'd previously stated that the focus was on secured financing. Is that still the plan would you entertain using the secured market. And I guess high level. How does the Big River acquisition at some point when that gets consolidated if and want to get consolidated adjust your thinking on the balance sheet. Some of the questions we get from investors, I appreciate it, thanks.
Kevin Lewis: Sure, no problem. This is Kevin. I'll start with the cadence of CapEx and particularly on the Endless Casting and Rolling cogeneration facility and then I'll let Christie talk about different sources of capital and how we're thinking about, this part of a broader solution. So, first starting with the Endless Casting and Rolling line, 2020 as we previously articulated as part of our $875 million of CapEx guidance for 2020 included about $175 million, $200 million for the Endless Casting and Rolling and cogeneration projects. We do see that ramping up in 2021 and 2022, majority of this spend occurring in those two years as engineering and construction really starts to take shape. First steel is expected at the end of 2022. So, it is a two-year timeline to do a lot of work. So, we do see that being an influx in CapEx for '21 and '22. However, the EAF project as Dave mentioned in his opening remarks will conclude in 2020. So that CapEx will roll off of our CapEx budget. But generally speaking that we should see some modest increase in CapEx in 2021 and 2022 as we take on the Mon Valley project. But maybe I'll hand it over to Christie to address the second part of your question now.
Christine Breves: Okay. Regarding secured debt, we think there are a lot of financing options available to us. We will be looking at things like tax exempt bonds, you saw we used environmental revenue bonds for the EAF, there is project financing. We're looking at that for co-gen there is also the unsecured market we prefer unsecured to secured. But we have still flexibility into our debt agreements allow us to access secured debt if we needed to, but that's not our preference, our preference is unsecured debt as well as some of these other things that we've talked about. We have asset divestitures, all kinds of things that that we can do to raise cash before we need to go to the secured market.
Dave Burritt: And again, we feel really good about where we are here in 2020. There is not an urgent need for us to go into the markets. And we're going to get a total solution when we go. So that will be able to get the best of both strategy completed when required. So, we feel good about. We are in terms of the cash flow and will play this through to make sure we can get Big River Steel done is our top priority Endless Casting and Rolling at Mon Valley is the second priority and in the Gary Works where we're going to the hot strip mill and of course later this later this year, second half the complete the electric arc furnace and or completing the PRO-TEC CGL3. So, each one of these things are moving ahead, just fine. And when we need the money to spend more money, we'll get it.
Operator: Thank you very much. And we'll go to our next question on the line from Tyler Kenyon with Cowen. Go right ahead.
Tyler Kenyon: Good morning. Maintenance and outage was look like $108 million headwind in Flat-Rolled in 2019, any help you could provide us with how to think about 2020. I mean, I know you do have some tailwinds just from some asset rationalization. And then maybe if you could help us think about the cadence of that through the year and specifically from the fourth quarter into the first?
Kevin Lewis: Sure. So, if we look at the first quarter. We don't really see any significant outage work planned, specifically in the Flat-Rolled segment. So, we don't think that's going to be a material headwind in the first quarter but as Christie mentioned in our opening remarks. We do have a planned outages will occur in April at Gary. So, you could see some elevated levels and maintenance and outage costs in that time period, as we complete that outage work.? But the year-over-year change is just going to continued reinvestment in our facilities and the focus that we have on increasing the reliability and quality of those facilities. So, that's the reinvestment is what really what drove the year-over-year change thanks.
Tyler Kenyon: Thanks. And then just on the pension and OPEB. Can you explain a little bit more detail some of the actions that you've taken there?
Dave Burritt: We're really pleased with the progress that we're making on our pensions. And I think on the pension, 93% funded and then 108% side on OPEB. And so, the team has been working really, really hard. We got some good returns and the end, there is some assumption of improvements based upon mortality and other access to the programs of pension programs and benefit programs. But Christie maybe can share a little bit more.
Christine Breves: Okay. And we had strong asset returns this year. So that also impacted the funding status Dave was talking about and we did some updates on our assumptions and that lowered our obligations. But also we was partially offset by decreased discount rates. We actually hard mill site consultant to work with us to review best practices around this and all of the different assumptions and those assumptions have been reviewed by EY and PWC  and thus the change of the improvement in the funding.
Dave Burritt: And the good news for this, in terms of the amount that we'd have to put in the pension fund. There is no requirements in the new to the near-term. And based upon the current funded status, we don't expect to make a payments until lot beyond the timeframe in which we invest in Big River, beyond the timeframe we complete the Endless Casting and Rolling. So, where we are today, we're in, we're in good shape.
Operator: Thank you very much. We'll proceed with our final question is a follow-up question from the line of Matthew Fields with Bank of America. Please go right ahead.
Matthew Fields: Hey, thanks for the follow-up. David, a couple of times in this call, you said, kind of a total solution with regards to when you're asked about potential financing. What does that mean, does that mean funding sort of CapEx needs plus the other half of the Big River purchased what is, what is the total solution mean?
Dave Burritt: Well, we think of cash holistically, so there's lots of pieces that come together. And obviously, we have a portfolio of projects portfolio of projects related to divestitures. We have a portfolio of opportunities related to funding our balance sheet and we have opportunities to look at unconventional ways to raise money. And so, when we look at this, you think about the traditional the old way we work at U. S. Steel and then also the new way we look at tapping other sources that would enable us to us to implement our strategy. Total solution basically means we need to get it done at the appropriate time to deliver on our best of both strategy, so that we'll be able to do Big River Steel and we'll be able to do Endless Casting and Rolling, so that we have a big chunk, big tranche till enables us to execute. That's what the total solution means.
Matthew Fields: All right, thanks very much.
Operator: Thank you very much. And Mr. Lewis, we have no further questions on the line. I'll turn the call back to you.
Kevin Lewis: Thank you very much and thank you again for everybody's interest in U. S. Steel. Dave, any closing comments.
Dave Burritt: Yes. Thanks, everyone. We really appreciate you joining the call today. Before we conclude, let me provide some takeaways from today's call. We have strong cash and liquidity position and we'll be opportunistic as to how and when we access capital. We have a strong business because of the strategy we are executing. And finally, we have strong employees supported by a strong culture. We were recently named in the Forbes Global 2000 World's Best Employers List for 2019 and we received a perfect score 100 on the human rights campaigns 2020 Corporate Equality Index earning the designation of a best place to work for LGBTQ equality. These recognitions are truly an honor and we look to build upon these accomplishments in 2020. A sincere thank you to our employees for their contributions. 2019 was a year of extraordinary change and you rose to the challenge and embrace this unique opportunity. Thank you for your continued commitment to U.S. Steel. We look forward to continuing this journey with you. Now, let's get back to work safely.
Operator: Thank you. That does conclude the conference call for today. We thank you for your participation. Please disconnect your lines. Have a great day, everyone.